Operator: Ladies and gentlemen, thank you for standing by. Welcome to the MarketAxess First Quarter 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded on May 7, 2025. I would now like to turn the call over to Steve Davidson, Head of Investor Relations at MarketAxess. Please go ahead, sir.
Steve Davidson: Good morning, and welcome to the MarketAxess first quarter 2025 earnings conference call. For the call, Chris Concannon, Chief Executive Officer, will provide you with an update on our strategy and our trading businesses and Ilene Fiszel Bieler, Chief Financial Officer, will review the financial results. Before I turn the call over to Chris, let me remind you that today’s call may include forward-looking statements. These statements represent the company’s belief regarding future events that, by their nature, are uncertain. The company’s actual results and financial condition may differ materially from what is indicated in those forward-looking statements. For a discussion of some of the risks and factors that could affect the company’s future results, please see the description of risk factors in our annual report on Form 10-K for the year ended December 31, 2024. I would also direct you to read the forward-looking statement disclaimer in our quarterly earnings release, which was issued earlier this morning and is now available on our website. Now let me turn the call over to Chris.
Chris Concannon: Good morning and thank you for joining us to review our first quarter 2025 financial results. I am pleased to report that we are seeing the benefits of our technology investments in our first quarter results, as shown on Slide 3 of my strategic update. In terms of revenue generation, our product and geographic diversification continue to pay off with record commission revenue in our international and new product areas like emerging markets, municipals and U.S. government bonds. We are very pleased with the growth we generated in the U.S. government bonds in the quarter, including a single day trading record of $102 billion on April 9. The strong growth in U.S. government bonds is being driven by increased velocity but also by more institutional clients leveraging our rates algos even during volatile periods. These clients are leveraging new algos to work larger block orders with low market impact over a specific time range, and the results have been impressive. Clients are executing billions and treasuries with 97% passive execution rates. That means institutional clients are not crossing the spread, 97% of the time using our algos. During the week of April 7, clients leveraged our U.S. Treasury algos to execute $36 billion or 11% of our trading volume that week. We expect to continue to expand our algo suite for rates and we anticipate launching an enhanced RFQ solution in the near future. Services revenue growth was also strong at 7%. In terms of expenses, we continue to show cost discipline, with expenses up only 2%, which also benefited from lower variable costs during the quarter. Last, on the capital front, we’ve been more opportunistic with our share repurchases as we move beyond just offsetting dilution from stock-based compensation. Our challenge has been U.S. credit market share across key protocols, which partially offset the growth we generated in other areas in the quarter. However, the exit rate in March was very encouraging with U.S. high-grade estimated market share increasing to 20%, and – the highest level since December 2023, driven by strong market share gains across the portfolio trading and dealer-initiated channels. On Slide 4, we highlight the key performance indicators for our trading businesses across channels in the first quarter. As this slide clearly shows, except for U.S. credit market share, the key performance indicators across our platform are largely green in the quarter, reflecting the underlying fundamental strength of our business. First, across our client-initiated channel, we generated record U.S. credit ADV, up 2% to $9 billion. We saw strong growth in international products with record ADV of $6 billion, up 11%. EM local markets are the largest opportunity in EM from an addressable market perspective. We produced record local markets ADV of over $1.5 billion, up 8%. Our performance in municipal bonds is also a positive example of our product diversification strategy with ADV up 42%. We are very pleased with the liquidity coming from our partnership with ICE Bonds, which started with municipals and has now extended to U.S. high-yield and U.S. investment grade. We experienced another quarter of strong growth in automation with record trade volumes of $110 billion, up 17%. We had 249 active automation clients in the first quarter. We now have 80 clients enabled for our Algo suite, up from 25% in the prior year. Open Trading ADV hit a record $5 billion in the quarter, an increase of 8%. The Open Trading share of total credit was 38% in April and Open Trading volume hit record levels during the second week of the month across credit markets. Our share of blocks in U.S. high grade was just over 11%, up slightly from the prior year. In the portfolio trading channel, we generated record total PT ADV of $1.3 billion and record U.S. credit PT ADV of $1.1 billion, with market share of 19%. The – Last, in the dealer-initiated channel, dealer RFQ and Mid-X ADV was a record $1.9 billion, representing a 45% increase over the prior year. As promised on the last earnings call, on Slides 5 and 6, we want to update you on how we are executing across the 3 critical channels we are attacking to grow U.S. credit market share. First, in the client-initiated channel, we made progress with our block trading solution. We registered record total block trading ADV in U.S. high-grade, emerging markets and Eurobonds in the first quarter. Year-to-date through April, block trading in U.S. high grade is running up 27%, U.S. high yield is up 19%, and – emerging markets is up 22% and Eurobonds is up 71%. And – our cumulative block trading volume since the launch of our targeted block trading solution in emerging markets and Eurobond was $4 billion through April 2025. We are rolling out our full high-touch block trading solution in U.S. credit to our broader client base as we speak. This is really exciting because we are delivering a click to trade solution where the trade is against a dealer acts or an indication of interest and the trade goes direct to the dealer without information leakage. This strong performance was driven by our client sales outreach we have been doing for our targeted block solution. Next, in the portfolio trading channel, which is a very important part of the market, we generated record levels of portfolio trading ADV with strong increases in both U.S. high-grade and U.S. high-yield estimated market share in Q1. U.S. high-grade portfolio trading market share was 19% in the quarter, up 520 basis points over the prior year. U.S. high-yield market share was 18%, up 690 basis points versus the prior year. Year-to-date through April, U.S. high-grade portfolio trading estimated market share is running up 310 basis points compared to full year 2024 levels, and U.S. high yield is running up 260 basis points. So again, very strong progress with the portfolio trading channel. Last, in the dealer-initiated channel, we are beginning to see progress as we prepare to launch a new MID-X solution later this quarter in U.S. credit. Dealer RFQ ADV was a record $1.8 billion with record ADV across U.S. high-grade, emerging markets and municipal bonds in Q1. We – U.S. high-grade dealer-initiated estimated market share increased almost 100 basis points year-over-year. We are very excited about the launch of our new MID-X solution in the second quarter, it is a very streamlined API delivered high-performance matching solution for dealers. Slide 7 highlights our strong growth in April, continuing the trend of March on a significant increase in credit market volatility. With the recent increase in volatility, we have seen spreads widen, liquidity needs increase and the velocity of trading increase. We saw Trading ADV grow 68% year-over-year to a record $57 billion, driven by strong growth across all products, including 32% growth in total credit ADV to a record $18 billion and 93% growth in total rates ADV to a record $39 million. Most importantly, U.S. high-grade market share of 19.4% was 120 basis points higher than the prior year. We also saw a significant increase in the ETF market making activity in U.S. high yield in April, the highest level since November 2023. Before I turn the call over to Ilene, let me make a couple of observations about the market, the recent volatility and how our platform is responding. First, the velocity of trading in U.S. high grade has risen to levels we have not seen since 2011, which is great for our market and further electronification. Portfolio trading, a key protocol that has fostered increased velocity has continued to perform at high levels despite the increase in volatility. We – Portfolio trading was approximately 11% of the U.S. high-grade market in April, in line with prior periods, reflecting its resiliency as a risk transfer tool. Last, one of the most exciting aspects of this increase in volatility has been how our clients are increasingly willing to execute greater size through automation during times of volatility. Our largest and most sophisticated clients continued to increase their automation risk tolerance in March and April with over 2,500 automation trades of $2 million or above over the 2 months, the highest 2-month period ever. Also, we generated record U.S. high-grade block count leveraging Auto-X during the March and April period. We believe that our strong results were driven by the progress we have made with our new initiatives as well as the significant increase in market volatility. Now let me turn the call over to Ilene to review our financial performance.
Ilene Fiszel Bieler: Thank you, Chris. Turning to our results on Slide 9, we provide a summary of our first quarter financials. We delivered total revenue of $209 million, compared to $210 million in the prior year. Looking at each of our revenue lines in turn. Commission revenue decreased 2%, largely driven by lower fee per million and market share in U.S. credit, partially offset by strong market volumes on an increase in volatility beginning in March. Services revenue increased 7%, driven by a 9% increase in information services revenue to $13 million. The increase was driven by new contracts as we continue to experience strong adoption across our data product suite, especially CP+. Post-trade services revenue of $11 million increased 3% versus the prior year. Technology services revenue of $3 million increased 14%, driven by higher Pragma-related license and connectivity fees. Total other income increased a little over $3.5 million, due principally to higher interest income of approximately $1 million, higher mark-to-market gains on our U.S. treasury portfolio of approximately $1 million and lower levels of FX losses of approximately $1 million. We’ve reported diluted earnings per share of $0.40 or $1.87 per share, excluding notable items in the quarter, which included a new reserve which we established for uncertain tax positions. This reserve is being established for prior periods through the first quarter of ‘25. Based on a recent ruling in a case that MarketAxess was not a party to that was not supportive of the company’s historical tax filing position, this decision reversed a lower administrative court ruling that had been supportive of the company’s position. The go-forward effective tax rate will move higher to accrue for the expected increase to the tax reserve in 2025, and I will provide updated guidance on the effective tax rate later in my presentation. On Slide 10, we provide more detail on our commission revenue and our fee capture. Total commission revenue was $181 million, compared to $185 million in the prior year. We experienced growth in credit commission revenue across emerging markets up 6%, Eurobonds up 5% and municipals up 6%, and – which helped partially offset a 7% decline in U.S. credit commission revenue driven by lower fee per million and lower market share. The reduction in total credit fee capture both year-over-year and quarter-over-quarter was driven principally due to product mix. On Slide 11, we provide a summary of our operating expenses. First quarter operating expenses of $120 million increased 2% compared to the prior year. The lower level of expense growth was principally driven by continued cost discipline and lower variable costs due to the slower start to the quarter in January and February. While the pace of operating expenses was lower in the quarter, we have continued to invest to drive future growth. Headcount was flat year-over-year but down from 891 at the end of 2024. On Slide 12, we provide an update on our capital management and cash flow. Our balance sheet continues to be strong, with cash, cash equivalents and corporate bonds and U.S. treasury investments totaling $642 million as of March 31, down from $699 million at the end of 2024. The decline in cash was due principally to the annual payout of full year 2024 cash incentive compensation in the quarter in addition to the share repurchase activity during the quarter. We generated $344 million in free cash flow over the trailing 12 months, an increase of 5% over last quarter. We repurchased 251,000 shares year-to-date through April 2025 and for a total of $52 million, including 188,000 shares repurchased during the first quarter at a cost of $38 million. As of April 30, 2025, $173 million remains on the Board authorization. We believe we are striking the right balance of investing to drive future growth, while at the same time being disciplined stewards of capital. Before I turn the call back to Chris, there is no change to our previously stated full year 2025 guidance for services revenue and capital expenditures. Based on the progression of our operating expenses in the first quarter, we are refining our full year 2025 expense guidance and now expect to be at the low end of the previously disclosed guidance range of $505 million to $525 million, including the impact of RFQ-hub, which I will discuss in a moment. And I would remind you that variable expenses can change depending on operating conditions. While we are refining our expense guidance, we are continuing to strike the right balance of investing to drive our future growth. Additionally, given the notable items discussed earlier, we are updating our full year 2025 effective tax rate guidance range. On a GAAP basis, the effective tax rate is expected to be in the range of 41% to 42%, and – due to the reserve I mentioned previously. The effective tax rate, excluding the notable item in the first quarter is expected to be in the range of 26% to 27%. Before I turn the call back to Chris for closing remarks, we expect to close the RFQ-hub transaction later in May. This will bring our ownership to approximately 90%, and we will begin consolidating RFQ-hub in our financials. For full year 2024, RFQ-hub revenue was a total of $13 million, and we expect revenue to grow between 15% and 20% in 2025 as we integrate the offering into our product suite. We expect to include most of our Q-hub revenue in other variable transaction fees within total commissions, but we also expect approximately $750,000 of connectivity fees to flow through our technology services line. The incremental expenses related to the consolidation of RFQ-hub are expected to be in the range of $7 million to $9 million for 2025 after the close and are included in the new full year 2025 expense guidance I just noted. For modeling purposes, we expect approximately $2 million in incremental depreciation to flow through the depreciation and amortization line in 2025. Now let me turn the call back to Chris for his closing comments.
Chris Concannon: Thanks, Ilene. In summary, on Slide 13, we made solid progress with the key new initiatives that will drive improved market share in U.S. credit in the remaining quarters of 2025. We – we generated record levels of block trading across U.S. high-grade, emerging markets and Eurobonds, which have benefited from the launch of our targeted solution. Our portfolio trading solution continued to hit record ADV trading levels and our market share in U.S. credit continues to expand. Record dealer RFQ ADV reflects our increasing focus on this important channel with record ADV in U.S. high-grade, emerging markets and municipals. Our strong progress across the client-initiated portfolio trading and dealer-initiated channels, combined with the increase in credit market volatility should help drive higher levels of market share in U.S. credit in the coming quarters. Now we would be happy to open the line for your questions.
Operator: [Operator Instructions] Thank you. Your first question comes from the line of Chris Allen of Citi. Your line is now open.
Chris Allen: Good morning, everyone. Thanks for taking the question. I wanted to – hoping you could unpack for increased share gain moving forward. Can you help us frame out what are realistic expectations here? How dependent are show gains on the environment continuing at some of the recent levels? And how do you think about the impact of new capabilities on share gains from here?
Chris Concannon: Great. Thanks, Chris, for your question. First, I’ll address the market environment because the current market environment that we’ve been experiencing certainly in March and leading into April is favorable to our business model. We are obviously seeing in this environment, a lot of uncertainty, I would call it an environment of uncertainty, where there is economic uncertainty, geopolitical uncertainty and certainly questions around direction of rates. Obviously, the market is now predicting rates will head lower which couldn’t be favorable for us. Certainly, any rate moves is largely favorable to the turnover that we see in the bond market. But most experts right now are predicting higher levels of volatility, not returning to those lows that we saw certainly in 2024. So it’s not just a business model on tweets about tariffs going forward, but we do see higher levels of volatility in the market. Spreads remain slightly widened relative to what we saw in January and Feb. And our clients’ liquidity needs have risen since last year. We are hearing more and more from clients about need for liquidity and need in particular for alternative liquidity, that’s all favorable to our business model and so from a market environment. The one piece we haven’t seen is credit quality challenges. If there are any macroeconomic impacts, we could expect to start hearing about credit quality, which would have an impact on spreads and obviously, change investor outlook around portfolio holdings, which could increase turnover. With regard to our growth opportunity in this market, one, I think the – the market opportunity that we have is expanding because we have changed our model to be what we call protocol agnostic, by delivering clients multiple protocols to solve different execution needs for different sized orders, different shaped orders like portfolio trading, block trading and then also addressing the dealer-to-dealer market. We think our opportunity for growth is increasing given both the market environment and the deliveries that we’re making in this year. In terms of this quarter, we are excited about the number of product releases that we see in the coming quarter as well as the future quarters. We’ve made sizable investments last year, and we’re feeling the impact of those investments as we roll out additional items. First, as you heard in my prepared remarks, we’re launching our high-touch block solution on the back of our already launched targeted block trading solution that we launched in EM and Eurobonds. And that is literally launching next week. So we’re super excited about of being able to deliver a block solution to our clients where they can trade directly with dealers. We also mentioned the launch of Mid-X coming this summer, an exciting new addition to our protocol mix for dealers. Again, this is a dealer targeted solution to address dealers’ needs to trade at mid-market as they exit their inventory. We are also rolling out X-Pro into Europe this summer and excited about the benefits that X-Pro brings not only from a portfolio trading perspective, but also just a workflow perspective and the ability to deliver data and analytics to clients as we roll that tool out, not just in Europe but further rollouts into EM as well. So, when I look at this environment, Chris, and I look at the number of product releases that we have coming in the current month – in the coming months and quarters, I’m just very excited about our opportunity to grow, particularly around what you’ve seen in portfolio trading, the dealer-to-dealer, but also the block trading solutions that we’ve delivered to the market, so feeling very good about both market environment and our delivery schedule for forward growth.
Operator: Your next question comes from the line of Alex Kramm of UBS. Your line is now open.
Alex Kramm: Yes, hi, good morning. Just staying on the environment a little bit and sorry to slice and dice the month or the environment, but some people talk about April almost in two halves and you yourself mentioned some of the record days in the early part of the month. So just wondering what you saw maybe in the first half and second half, given that it was clearly very, very elevated and very good. But curious what kind of things kind of stuck in terms of client behavior and chair and where maybe things started normalizing a little bit, just as we think about the second quarter from here?
Chris Concannon: Sure. Obviously, we saw accelerated market velocity in April, seeing some records across a number of protocols, but overall market volumes were up substantially in April and high yield in particular, we saw record market volumes up 42% year-over-year, so just sizable velocity in the market. What’s very encouraging is that the market is able to sustain that level of velocity. So without electronic trading and the broad electronic trading penetration, you just wouldn’t be able to see that level of market turnover. We continue to see that velocity in – throughout the month of April and into May. So we’re encouraged that overall turnover remains heightened. As you mentioned, Alex, volatility spiked and did come down, but it never rested back at a low point. So we’re seeing even – at lower levels of volatility relative to the beginning of April, we’re still seeing evolve stay at a somewhat heightened level and more encouraging spreads remain at a heightened level relative to January and February. So the market environment, while we’ve come off our peak volatility and those were quite some peak spikes during the tariff wars back and forth. We’re still at a very attractive market environment for our business model. We continue to hear from clients both in high yield and EM asking for liquidity needs and saying – suggesting that the liquidity in the market is not robust. So that’s always encouraging because they tend to lean on our Open Trading alternative liquidity in that type of market environment, so encouraged by the current market environment. While it’s not at the peaks that we saw in early April, it’s still a relatively sustained volatility that we’re seeing in the market. And that’s before we’re seeing any rate adjustments or any challenges, macroeconomic challenges that could come.
Alex Kramm: Fair enough. Thanks.
Operator: Your next question comes from the line of Kyle Voigt of KBW. Your line is now open.
Kyle Voigt: Hi, good morning. Maybe if I could just ask a question on fee capture and particularly wondering if you could update us on what you saw for high-grade fee capture in 1Q and the high-grade capture number that’s embedded in the April metrics you released earlier this week? I am just wondering if you could help us understand really what’s causing the year-on-year and the quarter-on-quarter declines that we saw because I think at first glance, higher Open Trading share, I thought would have been incrementally helpful. But I know there is a number of other factors at play with PT growth and block growth, for example, which could continue as we’re looking at launching the U.S. block solution into the second quarter?
Chris Concannon: Great. I will start and let Ilene fill in some of the gaps. First, what I will do is take a step back and talk about fees holistically. I think it’s a good topic. Just given what I talked about previously around being protocol agnostic, we are investing heavily in delivering multiple protocols to both clients and dealers and with that level of focus, you saw performance in the first quarter, and that performance continued into April. These are two market protocols that have grown in the overall market, portfolio trading and the dealer-to-dealer business has grown substantially year-over-year and over the past couple of years. Portfolio trading somewhere around 10% of the overall market and the dealer-to-dealer market is somewhere around 30% of the market, which is up sizably from prior years. So, we are investing heavily in those areas. Those obviously come at a lower capture rate. And so with any success in portfolio trading, or dealer-to-dealer, you tend to have pressure on your fee capture as well. We did – what was interesting in April, we did see heightened levels of portfolio trading in high yield, literally record levels of portfolio trading as high as 15% for the full market, which we haven’t seen before. What we heard from clients was just large – large sell-offs required because of large redemptions coming into funds, both in managed funds as well as ETFs. Those heavy redemptions in high-yield funds led to a lot of clients choosing to use PT as a liquidity solution. And that had us in turn, have record levels of portfolio trading. So, those items are impacting our fee capture, but they are growth items for us. So, while they come in at a lower fee capture, we are encouraged by growing revenue by delivering new protocols and new solutions to our clients. The nice thing about where we are headed, things like block trading and growing further in the portfolio trading solution space, those are areas that have low variable costs and in fact, some come with no variable costs. So, they are higher margin businesses, but they can be seen as lower capture rate. So, for example, our block trading rolling out can be delivered at a slight discount to our traditional RFQ, but it comes with no variable cost for us. And so we are headed into a place where we are delivering more protocol, some of which comes at a lower capture rate, but some of which has lower variable costs associated with it. Ilene , do you want to add something?
Ilene Fiszel Bieler: Sure. So, Kyle, let me give you a little bit of the puts and takes that you mentioned in terms of the April versus March, right. So, we saw that increase in fee per million for about – which was about $4, right. And that was driven – really driven by more favorable product mix. And if you think about the – we had increase in high-yield activity, that was worth about $2. We had benefit from higher duration of about $1 to your IG question, right. And we saw weighted average years to maturity out a little to about 8.7% in April, 8.7% weighted average years to maturity. And then in terms of the mix of business, and you are right, Open Trading activity was up about $4, but we saw that partially offset by the increase in portfolio trading in the month, which was – went the other way by about $3. So, hopefully, that gives you the puts and takes. Your premise is right, but it kind of goes back to what Chris was saying, which is that as we are continuing to gain share and as we are continuing to do more volume in some of the other newer protocols for us, these are incremental revenues, but they do come in at a lower fee per million.
Kyle Voigt: Great. Thank you very much.
Operator: Your next question comes from the line of Michael Cyprys of Morgan Stanley. Your line is now open.
Michael Cyprys: Hey. Good morning. Thanks for taking the question. I just wanted to circle back to portfolio trading. I was hoping you could elaborate a bit on what you see driving the strength across your PT solution I believe you had brought some new innovation with – I think it was a net hedging for IG embedded in PT in the quarter. So, more broadly, maybe you could talk to some of the feedback and traction you are seeing with PT as you look out over the next 12 months, 24 months, where is your scope for continued enhancements and innovation with your PT solution? Thank you.
Chris Concannon: Sure. And I appreciate the question. Obviously, we have been talking about our investment in portfolio trading over the past year, and we are seeing the returns as a result of those investments. There are a number of enhancements that we have delivered. Obviously, our new X-Pro platform just makes the workflow smoother, allows our clients to have more line items see pre-trade analytics, evaluate the portfolio that they are loading and pick and choose winners and losers that are in those portfolio trade portfolios, that can improve price. So, there is a way for clients now to evaluate what’s costing them price in the context of the portfolio. So, all of those enhancements were delivered through X-Pro. We are now seeing 92% of portfolio trades on X-Pro, so it’s clearly the platform is winning the market share in the portfolio trade environment. The other places, as you mentioned, delivering and having clients sign up for all of the net hedging, auto spotting, all has been delivered and the feedback has been quite positive. Ultimately, portfolio trading will come down to analytics, data and analytics, and that’s where the constant demand is, is understanding when is the right time to trade a portfolio versus when it’s the right time to trade a list via RFQ, those are important questions we are hearing from our clients. Optimizing the portfolio, the more correlated you are to an ETF, the better pricing mix you get from dealers. And then optimizing your size within a portfolio, if you have block size line items, you can degrade your pricing in PT. So, all of that requires pre-trade analytics and the demand for pre-trade analytics, continues to grow. We are obviously planning on enhancements in the coming weeks and the coming months for our PT solutions. So, we are excited about what we achieved in Q1, which followed into April and what’s ahead for portfolio trading.
Michael Cyprys: Great. Thank you.
Operator: Your next question comes from the line of Alex Blostein of Goldman Sachs. Your line is now open.
Alex Blostein: Hi. Thank you. Good morning. Another one around PT for you guys. I was hoping you could break down the composition of the ADV in the quarter between the single dealer and the in-comp ADV that you cited. And I heard the discussion around fee per million, that all makes sense. But can you help us just frame what the fee per million currently stands today at portfolio trading and I guess dealer RFQ as well, since these are two of the larger protocols that are growing right now for you guys. Thanks.
Ilene Fiszel Bieler: So, Alex, in terms of sort of how we are thinking about portfolio trading and we have, obviously, you saw in April, the overall market share there was investment grade was pretty positive. And we saw fee in comp was 19.3%, and the – it was 19.4% I believe, all-in. So, I just want to double check that for you. And so that’s kind of, again, positive. And then if you think about the market share in high yield, that was in-comp 13.5% and 14.1% in terms of all-in, right. So, some real positive moves there in terms of how we were doing with high yield and investment grade. And so we know, though, that if you think about portfolio trading in general, that those come in at a lower fee per million, we know that that single dealer is really not something that we have fees per million on, and that’s not really included in that because if those come in without it. So, I guess this is all to say, as we continue to see investment grade and high-yield shares pick up and more of that becomes portfolio trading, we are going to expect to see continued pressure there on the overall fee per million. But again, it’s really good for share. It’s good for what we are looking to do overall. Chris has talked about how we really looked at block trading as something that’s a real opportunity for us incrementally. And the portfolio trading and the block trading folks are really often the same desk. And so, this is something we are really pleased about. We are pleased about our progress, but we know that this is going to come in at some fee per million pressure.
Chris Concannon: And I will just add, Alex, because it’s a great question, because that’s an area where, obviously, we have been investing and continue to invest in. In the past, we have said that expect month-over-month volatility in market share because of PT, single-dealer PT obviously, can swing share, those are what we call the mega PTs over $1 billion in a single PT. And they do swing share, if you look at our high-yield market share. It was – it increased sizably in comp, so total in comp, but it had a material pickup because of a single dealer PT during the month. So, again, that point is, it will have an impact on our capture month-over-month. And single – the dealer-to-dealer business as we invest in that, we will also continue to have further pressure on our fee capture. Again, our goal is to grow revenue and grow it through all the different protocols. We price our protocols based on the market of the protocol, not our overall fee capture. And so we are being very mindful of what that market looks like and when we are pricing into it. The good news on fee capture is our client to dealer RFQ business and fees have been quite stable and remained stable as we speak today in May. So, we feel very good about the stability of pricing across our core business, which is traditional RFQ in high-grade, high-yield and now EM.
Ilene Fiszel Bieler: And then, Alex, just to follow back because I think you also asked just about PT share in addition to high grade and high yield. If you look at April PT share, that was in comp at about 20.5% and the single dealer piece of that was about 1.3%. So, the overall market share there in April for us was about 21.8%. So, that was also a really good positive indication.
Alex Blostein: Great. Awesome. Really helpful stats. Thank you, guys.
Operator: Next question comes from the line of Jeff Schmitt of William Blair. Your line is now open.
Jeff Schmitt: Hi. Good morning. So, what have you learned from the rollout of enhanced block trading in EM and Eurobonds as you look to launch that in the U.S.? And do you see any potential hurdles to adoption here, anything that may be different in this market?
Chris Concannon: Sure. Great question. And again, we launched – in EM and Eurobonds, we launched targeted RFQ, a slightly different model from the way folks trade here, and particularly in IG and high yield. Target RFQ has had a positive response. Obviously, our block trading market share has increased. We saw a block trading record volume in EM. Again, that’s partly driven by targeted, but also largely driven by clients coming in and trading larger block size on the platform and getting liquidity in our all-to-all solution in EM. The feedback from clients is very positive. They want to be able to trade larger size electronically without information leakage. And the concern on information leakages, if you go out to an all-to-all RFQ requests, you are leaking obviously, your larger block size to the broader market. So, using a targeted solution protects your information, but allows you to maximize price improvement by marketing it to a few dealers rather than all dealers. As we have been certainly going out to clients in IG here in the U.S. with our high-touch block trading solution, which rolls out next week, feedback has been quite positive. Again, we are competing with the phone and with chat. So, when it comes to competition, being able to click to trade, your workflow for blocks is quite powerful and that feedback has been consistent as we demo the product to clients and they give us the feedback on the seamlessness of the workflow, the ability to go to a single dealer and engage that dealer fully electronically without going on chat. So, both the targeted solution that we launched in EM and Eurobonds is yielding results with our block trading stats, but we are excited about the client feedback we have heard in our high-touch solution rolling out next week.
Jeff Schmitt: Okay. Thank you.
Operator: Next question comes from the line of Patrick Moley of Piper Sandler. Your line is now open.
Patrick Moley: Yes. Good morning. Thanks for taking the question. So, we are hearing more and more about these alternative liquidity providers and market makers wanting to expand their presence in the credit market. So, I was hoping you could just update us on what your conversations with these alternative liquidity providers has been like? And what protocols do you find that they are looking to utilize most. Your competitor has indicated that they have been very interested in portfolio trading. So, just curious if that’s the case at MarketAxess as well. Thanks.
Chris Concannon: Great. Thanks for the question. And certainly, we have seen an influx in demand coming from what I will call alternative market makers systematic hedge funds, that influx has been over the last couple of years, actually our hedge fund community continues to grow. We continue to see record volume from that community as well as from your traditional ETF market makers. So, that – we saw sizable growth record levels of volume from the ETF market makers and the alternative liquidity providers. We have a strong pipeline of alternative liquidity providers. The number one protocol that they are requesting from us is our all-to-all RFQ solution. They want to be able to price a large client requests for price, they want to respond to inquiries and they can do that anonymously, without facing those large clients. The challenge for these alternative liquidity providers and you find it in portfolio trading as well is many of them are not prepared and many of the clients are not prepared to face them directly for settlement. So, the all-to-all traditional RFQ protocol is in higher demand from alternatives. They also typically trade large baskets across a large number of bonds because they are trading against the ETFs, so they tend to trade smaller size across the RFQ landscape. So, the good news is we continue to see more come. Some of them have come from both the FX and treasury markets and moved into credit, but they continue to grow and they continue to demand our proprietary data. So, there are data demands coming from that group because they are largely API-driven, consume a lot of data and trade a lot of product in a higher velocity level of trading. But the key ingredients for them is the anonymous to our solution where they don’t have to disclose their name or face any clients from a settlement perspective.
Patrick Moley: Okay. Great. Thank you.
Operator: Your next question comes from the line of Ben Budish of Barclays. Your line is now open.
Chris O’Brien: Hi. Thanks for taking the question. This is Chris O’Brien on for Ben. I had a broader question on the capture rate and just kind of thinking more broadly across, I know you said that you price by protocol and kind of what you are seeing in the market there. So, I was curious how you are kind of positioning your pricing competitively. And if there is any way or to the extent there is capacity that you could use that as a lever to drive more share growth moving forward?
Chris Concannon: Great question. And again, we do price by protocol. We think about what the market is requiring from each protocol. I think in the dealer-to-dealer space, that’s an area where clients are quite price sensitive. And so we have certainly adjusted price and with our Mid-X launch this summer, we will be pricing that in the market that requires a lower level of fee capture. So, we will be targeting that market with what we think is an appropriate price given the demand by dealers. Again, we are not really touching on our client-to-dealer pricing, that has been quite stable and we intended to remain quite stable. I think it’s important to point out that there are other players in the market, smaller players in U.S. credit that have been free for quite some time, and we haven’t seen any impact in our core business, as a result, I think Bloomberg has been free for years actually and we don’t see any competitive pressures in that area. So, we feel good about the current pricing levels that we have in the client-to-dealer space. I think where you are seeing appropriately priced product is really in the dealer and portfolio trading space. The more exciting piece of the market is really the next, what I call the next 50% of the market, which is the opportunity to grow electronic trading against the phone and chat market. That market is sizable and it’s a quite vulnerable market because it is not ideal workflow for our clients. We hear it continuously from them, they would much rather connect with a dealer and price a bond electronically than type it out on chat to get an execution. So, that market is obviously an attractive market for us. We think it’s – we will attack that market with appropriate pricing. But again, it’s a different protocol, will require different pricing levels as well. I will say, I don’t – we don’t sit here and feel a lot of pricing pressure in this market. I think where all the competition is in the client-to-dealer space is all around workflow, data analytics. And so the biggest pressure that we feel is delivering new product with new execution solutions, with new data, new analytics to help our clients trade better. In the environment we sit in right now where it’s more difficult to trade, clients are only talking about data and analytics and their demand for data analytics is growing. We do not talk to our clients about pricing and pricing pressures. Hopefully, that helps.
Ilene Fiszel Bieler: Yes. And let me just add a little bit to what Chris had, which is if you think about sort of the bifurcation of this in terms of the macro level and on the product mix and trading activity as sort of another level of how you think about our capture, right. So, on a macro level, a combination of lower rate environment, upward sloping yield curve for high grade and a higher mix of high-yield volume can make a positive difference. We know that the pace of Fed cuts, however, is constantly moving, and that’s something you are going to have to factor in. We know the most recent CME Fed watched out that, for instance, is predicting three to four cuts this year, but we are going to have to wait and see. Now, back to what Chris was talking about in terms of product mix and trading activity, the growth in PT, we know has downward pressure on capture. That is, we have been talking about that for a while now. However, if we get back the impact of lower levels of high-yield activity that we have seen, and we see more of that on the platform as we have seen volatility return, as we see ETF market makers clients get more active that’s going to be a positive, right. And then Chris has said this, but I really want to reemphasize that our core fee capture protocols for core RFQ have remained steady, pretty steady. And it’s really the newer protocols that come in at a lower rate. But I really want to keep in mind that we all have to take a look at what does that mean for incremental revenue, because that’s really what we are driving for. So, I just wanted to sort of close out with thinking about that in those terms.
Chris O’Brien: Great. Thank you so much.
Operator: Your next question comes from the line of Brian Bedell of Deutsche Bank. Your line is now open.
Brian Bedell: Great. Thanks. Good morning. Thanks for taking my question. Just wanted to ask Chris, about the rollout of X-Pro into Europe? And to what extent do you think that will accelerate portfolio trading share? I mean I think you mentioned 92% of our PT has done in X-Pro now, I guess that’s mostly U.S. But how do you think that could influence – the rollout of X-Pro could influence the usage of PT on your platform in Europe. And if you – again, I asked this every once in a while, but if you had to guess sort of where you think that 11% market share of PT goes to in the next couple of years, what would you guess?
Chris Concannon: Great question, Brian. Thanks for that question. First of all, taking a step back, X-Pro is part of our technology migration. It’s an important part of that migration as we move to modern tech in the cloud with high levels of capacity and more importantly, the ability to enhance and add data to our platform for our clients, that’s a critical ingredient. As I mentioned earlier, it’s where all the demand is coming from our clients is not just workflow but data and analytics that help them improve their execution outcome. The other nice feature about X-Pro is the delivery schedule of X-Pro is much faster. Our ability to roll out new functionality, new data and analytics comes faster in that new tech. And that’s why it’s such an important ingredient to our tech migration globally. In X-Pro and in particular, the rollout in Europe, which will be exciting because while we have been making gains in both Eurobonds as well as emerging markets, which is largely traded from the European region, having X-Pro add to those gains, we think is fairly exciting. As you note, our X-Pro users are growing their PT volumes. And so with the delivery of X-Pro to Europe and onward to EM, we are excited that, that portfolio trading market share that we are garnering here in IG and high yield will continue to grow into those markets as well. But just because the workflow is easier, the integration of data and analytics to help portfolio trading is much easier, and there is lots of enhancements that we can do in the coming months and quarters ahead. So, we are excited about that rollout and excited about how fast we can deliver once that rollout is in place. That’s really the key ingredient. As clients ask us to make changes to functionality, it’s much easier and much faster to deliver in that new tech. With regard to my predictions on portfolio trading, it’s going to be a key ingredient to clients’ ability to leverage liquidity in the market. We are seeing more dealers entering the portfolio trading counterparty space. I think if you look at high yield and the performance portfolio trading had in the volatility of April, that’s a market share that I probably wouldn’t have predicted, which is 15% of the overall market, but it’s encouraging that clients are able to leverage that tool and achieve liquidity levels that we haven’t seen in this market in the past. And it’s really all about putting a basket together and having a dealer offset that with the liquidity in the ETF market. The other piece that’s important to the growth of portfolio trading is, we are seeing the growth of credit futures. We are partnered with MSCI on a credit future listed on ICE Futures. So, we are excited about that. That will lead to higher levels of turnover in the fixed income market, the successful launch of credit futures as well as the growth of ETFs. These are all levers that market makers use to hedge large portfolios and large RFQ lists as well. So, these are all – the trends are all in the right direction for growing portfolio trading in the U.S. market as well as in the European and EM market. Hopefully, that answers your question.
Brian Bedell: Yes. That’s great color. Thank you.
Operator: Thank you so much. I would now like to hand the call back over to Chris Concannon for final remarks.
Chris Concannon: Thanks everyone for joining us today. And we are looking forward to the quarter ahead, and we will talk to you again on the next quarterly call. Thanks again.
Operator: Thank you for attending today’s call. You may now disconnect. Goodbye.